Operator: Welcome to the Enzo Biochem, Inc. Second Quarter 2015 Operating Results Conference Call. I will now read the company's Safe Harbor Statement. Except for historical information, the matters discussed in this news release may be considered forward-looking statements within the meaning of Section 27A of the Securities Act of 1933, as amended and Section 21E of the Securities Exchange Act of 1934 as amended. Such statements including declarations regarding the intent, belief or current expectations of the company and its management including those related to cash flow, gross margins, revenues and expenses are dependent on a number of factors outside of the control of the company, including, inter alia, the markets for the company's products and services, cost of goods and services, other expenses, government regulations, litigations and general business conditions. See Risk Factors in the company's Form 10-K for the fiscal year ended July 31, 2014. Investors are cautioned that any such forward-looking statements are not guarantees of future performance and involve a number of risks and uncertainties that could materially affect actual results. The company disclaims any obligations to update any forward-looking statement as a result of developments occurring after the date of this press release. During this conference call, the company may refer to EBITDA, a non-GAAP measure. EBITDA is not and should not be considered an alternative to net loss, loss from operations or any other measure for determining operating performance. The company has provided a reconciliation of the difference to GAAP on its website, www.enzo.com and in the press release issued last night. Our speaker today is Barry Weiner, President. At this time, all participants have been placed on a listen-only mode and the floor will be opened for your questions and comments following the presentation. I would now like to turn the floor over to your host. Mr. Weiner, the floor is yours.
Barry Weiner: Good morning and thank you for joining us today. With me is Jim O'Brien, our Senior Vice President of Finance and David Goldberg, our Vice President of Corporate Development. Our press release regarding the fiscal year 2015 second quarter results was distributed last night and is available on enzo.com if you’ve not seen it. Let me begin my remarks by providing you with some financial highlights for the quarter that ended January 31, 2015. Total revenues increased 1% over the prior year despite currency impacts at Life Sciences and reduced licensing fees and royalties. The clinical laboratory saw increased revenues by 6% year-over-year to 14.7 million despite adverse weather experienced in January as we experienced throughout the North East. The effects of the weather also were experienced in February but we’re now seeing an increase in activity as the weather improves here. Life Sciences product revenue was lower by roughly $300,000 as the segment was impacted by weak currencies in Europe particularly the Euro and Swiss Franc, licensing fees and royalties were also lower by about $400,000 from the prior year. Nevertheless both the clinical lab and life science segments showed positive EBITDA which underscores our success in building a strong efficient operating platform upon which we will grow. Turning to the operation specifically, I will update the progress being made on several core strategic programs for one thing we continue our program to transform Enzo into a provider of higher margin products and services. In so doing we’re seeing operating synergies as the company's lab and life sciences units, evolve into an integrated operating entity. Underpinning this strategy is the developing and commercialization of our proprietary platform technologies into products that address the rapidly changing healthcare field. This is becoming increasingly clear in the direction of our operating results on which I will have more to say shortly as well as in the press release distributed earlier this morning announcing the approval by the New York State Department of Health regarding the first product from our new FlowScript platform. This approval of our HPV E6/E7 RNA expression assay is a milestone for Enzo since unless than two years we have been able to take an idea from concept to product and open a new channel to the $1 billion plus cervical cancer testing market. This resulted from the efforts of our translational diagnostics group which consists of research professionals experienced in product development, optimization and assay validation among other core competencies working closely with key industry leaders across the clinical and scientific spectrum to produce an assay that can more effectively monitor higher risk cervical cancer patients. We presented this product at an international conference on [indiscernible] in Rome last week and it received a very enthusiastic reaction. The FlowScript assay will be launched forthwith through Enzo's clinical lab for marketing physicians and other clinical laboratories. Additionally Enzo Life Sciences will soon market relative reagents to other companies. The assay examines the levels of two oncogenes that are up regulated or turned on at a relatively high level in cells having a greater trans of progression to cancer. It has been reported that more than 70% of HPV high risk positive infections spontaneously regress and this do not progress toward cancer. Our assay can provide physicians with a tool to aid them in identifying those patients where the regression rate might be less and the probability greater. Importantly too we created an assay with less hands-on time than other expression based assays and one where we have reduced the tendency to get variable results depending on the test operator which has been an issue with certain flow based tests. The assay can also be performed on a variety of sample collation types, it makes it applicable to a very broad range of specimens. As we have indicated our HPV E6/E7 assay is the first product that is been developed from the FlowScript platform. Industry sources currently estimate the global flow cytometry market to be in excess of $3 billion. We believe that our platform may be able to open this procedure to a use of a wider array of analytes or clinical specimens. For example, our work on examining the levels of expression of these specific oncogenes suggest it could lead to the development of other tests that measure genetic activity as opposed to identifying the mere presence of the genes themselves. For such analytes, as markers of the immune state of an individual or specific cancers. In this manner we’re able to examine both the phenotype and the genotype of the sample simultaneously with analyzing each and every cell in that sample. Moreover the platform design is flexible enough to easily adapt to the study of new biomarkers, this will ensure that Enzo will be able to adapt to this new and changing environment in healthcare diagnostics. On a broader scale our FlowScript platform fits into the overarching development of the strategy that we’re employing that uses our technology to create platforms that will lead to products, that will help identify biological analytes. Many of our core products are utilized in precisely this manner whether examining the function of the given gene, the quantity of a protein, the functioning of an organelle or the presence of a particular infectious agent. A key asset in Enzo which is evidenced by our FlowScript achievement has been our ability to take product idea from conception, move it to the earliest prototypes to the various stages of the development process and not at least deal with issues such as how to get adequately reimbursed for performing test based on these products. Our key platforms are primarily targeted at the molecular diagnostics market which is the fastest growing sector of clinical diagnostics market. It is estimated to be growing at approximately 10% a year. It is also a market that despite increasing demand and proving utility remains under constant downward pricing pressure from third party payers. These forces have resulted in challenges that have cost tension between diagnostic suppliers in their laboratory customers. One where the suppliers apparently are not willing or able to reduce their pricing despite the reduction in reimbursement that the lab customers are experiencing in their margins. It is this setting that is generating opportunity for us at Enzo, we’re pleased with the relatively rapid approval of flow script and are optimistic that we will see additional approvals for other proprietary assays as well in the near future. Let me illustrate our strategy further, with a bit of discussion on our other key platform AmpiProbe. The technology on which this is based evolved from a multi-year research and development program involving both Enzo Clinical Labs and Enzo Life Sciences. AmpiProbe is a target amplification platform that will allow a simpler, less costly and more convenient way to amplify and deduct [indiscernible] assays or genetic material in a variety of sample forms. We believe that with AmpiProbe which is now undergoing validation for New York State approval and once received we expect to as well submit for CE Mark and ultimately FDA clearance. We have a product line that can address the markets growing and changing needs. Assays developed using this technology should allow for substantial savings to patients, labs and subsequently insurance providers. Additionally because of our experience in the clinical lab space we will assure that products emanating from this platform will be formatted in a way that allows them to fit into our customers regular workflow and because these products allow multiple test to run from a single clinical specimen they will increase convenience to the ordering physician and their patients and will reduce the need for patients to return for additional visits if you’ve indiscriminate diagnostic results. Our platforms should provide clinical laboratories with the opportunity to materially improve their margins. Clinical labs will be able to obtain Enzo's cost effective reagents produced under a tight quality control to validate their own assays on any number of open platforms. Alternatively they will be able to utilize the reference services of our clinical laboratory. Our goal in the development of products and services using this novel technology is to reduce the price of performing such tests to the level where laboratories can offer them whether developing them in-house or utilizing Enzo as a reference laboratory at more acceptable profit margins. This would make molecular testing a profit center for many small to medium-sized academic and commercial laboratories that now run such tests at a loss or do not run them at all. We believe that opening up such testing to small and medium size labs whether hospital band aid or commercial will allow the prompt expansion of their test menus without the need for potentially onerous capital commitments, nor will it's availability be lost on third party commercial payers who are seeing the cost increase along with the increasing proliferation of molecular diagnostic testing. These organizations are keenly aware of the importance of molecular diagnostics and the vital clinical and treatment decisions that derive from them. We’re engaging some of the largest commercial payers as a core strategy since we believe that we as we introduce new products to the marketplace they will recognize their value in the economics of their offering. Our approach to the market will allow us to capitalize on the successful development of a range of products based on these technology platforms for analyzing an increasing number of diseases, a development that is only possible because of the nature of our coordinated infrastructure. Our translation teams are working at developing an extensive pipeline of products and services based on both AmpiProbe and the FlowScript platforms including panels for both infectious and sexually transmitted diseases related to women's health, general infectious diseases and those potentially related to cancer and both diagnostic and prognostic. Our first women's health infectious disease panel will contain more than 10 different organisms commonly linked to women's health issues. I would like to turn to little more detailed discussion on our second quarter financial results now. As we reported yesterday net revenues for the January 31, 2015 quarter were $23.1 million versus the prior year of 22.9 million up about $200,000. Service revenues at clinical labs were a second quarter record of 14.7 million versus 13.8 million in 2014 that’s up about $900,000 or 6%. This revenue was achieved as a result of the ongoing shift of our business mix to higher value molecular testing and despite what we estimate to be $300,000 in lost revenue due to the severe winter weather in the North East in January. Additionally, gross margins at the lab improved to 37% that’s 400 basis points over the same period in the prior year. Product sales at Life Sciences were 7.7 million, this is versus 8.1 million last year. This reflects a decrease of about $300,000 which is virtually the result of the weakness of the euro and swiss franc. Royalty income which is separate from product revenues was reduced by about 400,000 due to lower sales of covered products. Despite these factors Life Sciences operating income was in excess of 1.3 million which was unchanged from last year reflecting the continuing drive to both higher margin products and improving operational efficiencies. Companywide gross margins improved $10 million from 9.8 million a year ago an increase of approximately 3% and gross profit remained at a solid 43% despite the currency and royalty impact I just referred to. Operating expenses for the quarter which included 2.8 million of legal cost, an increase of 1.3 million from the year ago rose 2%. For the second quarter the earnings per share loss was unchanged at $0.09 per share and our operating loss rose about 300,000 to about 3.9 million. For the six months revenues increased to 47.9 million a 2% increase with gross margins up by 3% to about 21 million, gross profit improved by 100 basis points to 44%. Legal expenses rose 83% to 5.3 million and our operating loss was about 7 million up from 6.6 million in 2014. As noted earlier both the clinical lab and the life sciences segments reported positive EBITDA for the quarter. On a consolidated basis Enzo would have reported near breakeven EBITDA results but from much higher legal cost which is intrinsic to our determination to protect our patent stay [ph] and the foreign currency effects. I would refer you to the tables that were attached to last night's press release which includes reconciliation tables to GAAP to non-GAAP net income and loss and EBITDA to adjusted EBITDA. Our balance sheet remains satisfactory, cash on hand at quarter's end stood at 15.3 million while working capital was 14.3 million. Cash flow used in operations during the quarter was 3.7 million and excluding legal would have been a positive $300,000. Sequentially it's interesting to note that positive cash flow from operations from labs and life sciences was $1.5 million for the quarter and 2.6 million for the six months period. Our financial position remain sufficiently healthy to allow us to continue to invest in growing the business and engaging in product development towards further expansion. Our revolving credit line balance was 3 million unchanged from the beginning of this fiscal year, this vehicle provides additional low cost financial flexibility to support our growth initiatives. As for legal expenses these represent an important investment as we continue to seek to protect and obtain fair value for our intellectual property, these expenses represent the cost associated with numerous depositions and other expenses in the 11 Delaware cases as well as cost associated with the remaining New York litigations. Most of the Delaware related deposition activity has wrapped up but there remains ongoing pre-trial activity as we move towards what we hope will be favorable outcomes. Additionally we’re still awaiting a decision from the U.S. court of appeals regarding the $60 million plus judgment awarded in a jury trial regarding our patent infringement case against life technologies. We’re hopeful that this case will be resolved favorably in the coming months. Before I end my remarks and open the call to questions, I would like to take this opportunity to add just a few other comments about our business strategy. As evidenced by our FlowScript advancements as well as the internal progress we have made on an AmpiProbe, Enzo is utilizing our proprietary technology to increase the availability of products and services to the marketplace in a manner that not only allows labs to increase their menus but will also allow them to do so at acceptable margins. The continuing third party reimbursement pressure that laboratory providers have and will continue to endure has become an opportunity for Enzo to offer solutions that can easily be folded into most current lab operations. We continue to expand our intellectual property at stake which underscores this technology portfolio that has been built-up of overall more than three decade history of our company and today remains one of our core assets. It has been at the heart of a number of products we have developed over the years but the fact that we have initiated legal actions against various companies for infringement of our patents and the substantial verdict handed down by the jury in Connecticut as well as other settlements we announced last year a test we believe to the value of this asset. To sum-up we’re continuing to drive Enzo to become an integrated diagnostics and service provider using proprietary technology, to address the dynamic challenging and evolving healthcare market. We are accomplishing this while employing key potentially disruptive platforms as a corner stone of business strategy to meet the challenges of the changing laboratory economic environment. These platforms it should be noted have utility beyond human clinical diagnostics. As an example the increased sensitivity of our AmpiProbe platform, it has demonstrated, may have utility in such areas as bio-defense where it is critical to be able to identify minute quantities of a specific biological agent while simultaneously being able to discriminate against non-threatening forms of these organisms. There may also be applications in the agricultural field to test for safety, food and water and there may even be utility for such products in the veterinary diagnostics market where the improved sensitive from such tests that could lead to smallest sample volume needed to perform them maybe even more important given the difficult at time of obtaining animal specimens. Finally, we will be introducing products to the market in a bifurcated distribution model using our global life sciences, sales and distribution teams and the national reach of our clinical laboratory to provide products and services. I believe that I can comfortably state that few healthcare companies have the core competencies we possess in both the quality of manufacturing of molecular products as well as in their complex and demanding use in clinical services. Our development efforts continue to progress towards additional validations and further regulatory approvals that will allow us to make future product introductions into this marketplace. It's interesting and I think it's important to note that the aggressive refocusing on the company that has taken place over the last several years has enabling us now to introduce timely products to the market. I would at this time like to open the floor for questions.
Operator: [Operator Instructions]. Thank you. Your first question comes from the line of Bill Bonello with Craig-Hallum.
Bill Bonello: I'm wondering if you can just speak a bit to your expectations for investments over the course of 2015, obviously you’re making some really nice progress on growth in the clinical lab and significant gross margin expansion but in terms of that showing up in profitability obviously it's all getting reinvested in the legal and the new product development. So I guess I'm just curious how you see that playing out over the course of this year and into the future what your thoughts about being able to actually deliver bottom-line profit would be.
Barry Weiner: We have been operating on a relatively measured budget in terms of investing in the new product activity that we have all being engaged in. I think for the investment we have made we have been able to generate very interesting new platforms that have material economic benefit to the laboratory industry and fulfil a very needed solution in terms of lower cost solutions to match the lower cost reimbursement environment that is pursuing and engaging the whole industry. We believe we need to make much greater as we move forward. We believe that platforms predicate an investment in terms of the development of multiples of products to meet the marketplace. Our goal has been to utilize the capital that we have being internally generating over the past few years and not issue very dilutive financings to fill the cash coffers to build these product lines in the research and development area. We’re hopeful that we will be achieving financial returns from our intellectual property estate if and when that happens a portion of those funds will be devoted to driving the further product development in a more aggressive fashion. We’re exploring partnerships with entities that we believe will help to develop many of the products particular in areas that are outside of our traditional human health area thought there are areas in the human health area we’re interested in partnering and so we’re looking for to not only financial investment to drive those products but also the investment on enlarged or enhanced or enhanced operational organizations to support our activities in these areas. So we do recognize the need to invest more intensely, we believe over the next year we have the opportunity to bring in capital and I hope it will be significant capital in a non-dilutive fashion such that it will help to drive our business lines and business model but we absolutely see a potential here in terms of our platforms, AmpiProbe and FlowScript and they are actually others that will be emerging behind it to make a very special impact in the marketplace, an impact that we think will be helpful to our industry in terms of providing low cost solutions and we see that starting to unfold over the next year.
Bill Bonello: And just one follow-up from your answer, you did talk about the potential for partnerships and historically you’ve talked about the possibility that maybe other large diagnostic players could be interested in AmpiProbe technology perhaps licensing it to develop new products or using it in their own lab etcetera, I mean where are we’re at on that front, I think is that the kind of thing that is way off in the future. Could we actually see any news in the next couple of quarters on that front.
Barry Weiner: We have active dialogue ongoing on many fronts. And the answer to your question is, yes it could be apparent within the next few quarters. I can't really comment too much on the specifics but it is an active program in terms of attempting to promote and accelerate the growth of our product development activities.
Operator: [Operator Instructions]. And your next question comes from the line of Norman Hale with Stifel.
Norman Hale: A question on AmpiProbe, I know it's been a long haul here to well since you guys submitted for approval. What's your best guess in terms of when that product will get final approval?
Barry Weiner: I can't specifically say when the final approval comes, because it's not in our control. This has been an active evolving program, the products within the AmpiProbe system have evolved. I'm optimistic, we will start to see these approvals, start to emerge I think the FlowScript approval was very encouraging to us because it started to show a flow of the products we have over the last year or so in working to validate a number of products and we have been waiting for approvals. I think the FlowScript was a milestone for us and I'm optimistic you will start to see the approvals emerge on AmpiProbe as well. I believe once you see the first one emerge I suspect you will start to see a flow of products come through the system.
Norman Hale: And Barry, once you do get approval for AmpiProbe what would be the anticipated timing in terms of being able to manufacture the product and to actually start to generate revenues from the product?
Barry Weiner: In a very short amount of time, we’re manufacturing these products on a routine basis for our reagents business. So we would anticipate being able to start to move these products out within a very short time frame.
Norman Hale: And on FlowScript which obviously is exciting item for the company. You have conditional approval for that, when do you expect to start generating revenue from that product?
Barry Weiner: We expect to start generating revenues in the very near future. I mean the product will be offered via our life sciences entity as reagents for people to purchase and we will begin to provide the service at our clinical lab in a relatively short time frame.
Norman Hale: And do you’ve any idea let's say obviously you got to ramp up the sales and there is a lot of educational items necessary to get some widespread adoption of the product but let's say a year from now what sort of like parameters do you think this same could be producing, like low-end, high-end in terms of the revenue potential for the product?
Barry Weiner: The product has utility within our clinical laboratory in terms of our market share which is regional marketplace and I think it is used as an adjunct in HPV testing for cervical cancer prediction. The market for HPV testing is quite significant, actually I will let David Goldberg respond to that, that’s an area that he has been working on rather intensively.
David Goldberg: The HPV market alone is several $100 million in the United States and so if you even take a percentage of that market where the -- where normal HPV is seen and be able to test with FlowScript which indicates it's a indicator of potential progression of cervical cancer. It could be a material percentage of that several $100 million market which would be the total available market certainly because of the ability to both market it through for products as well, we have been marketing it as a service. We will be able to provide optionality to those who wish to offer this test to their particular customer base whether they send specimens to our clinical laboratory or purchase the products will be upto them. So it could be -- there is a significant market and we certainly will make every effort to attempt to go after it.
Norman Hale: The physicians that you will be targeting in this would be the oncologist and the gynecologist, is that correct?
Barry Weiner: That’s correct. It would be mostly the gynecologist as well as the gynecological oncologist.
Norman Hale: Have you had any discussions with physicians in those fields and if so what was your feedback from them?
Barry Weiner: Feedback was very positive, anything you can give to a physician to help manage patients is something that they appreciate. As you may or may not know. More than 70% of positive HPV high risk patients actually spontaneously regress and so to be able to offer something that may be helpful in managing that 70% of the population or trying to figure out who that 70% is or isn't is actually something that they welcome and it's been -- we have had very positive feedback from, I’ve had discussions myself with some of the key opinion leaders in the New York area and I'm actually very excited about this.
Norman Hale: And as far as FlowScript -- as far as additional indication that is original when that you guys have the approval on, have you targeted which areas you intend to pursue or where are you going to take this subsequent to this initial approval?
David Goldberg: Well we have got several products in development at various stages, we’re looking at without getting into too many specifics looking at various markers of immune state, immune competency. We also believe that there may be some applicability of the platform and products we develop from there for drug discovery. Remember what you’re looking at is you’re looking at being able to take a cell population and look at the RNA expression for each and every cell in a sample. So there is a wide variety of potential uses and we’re exploring a number of them at this point.
Barry Weiner: There will also be some cancer markers targeted. So I mean the markets that seem to have what I would call immediate interest in demand as David commented, the areas of immune competence, and the area of cancer.
Norman Hale: Obviously there is definitely some excitement here, would you guys be pursuing or potentially be pursuing partnerships with some other companies relative to some of these other indications?
Barry Weiner: Yes these are all very interesting novel approaches to the challenge of healthcare diagnostics. Flow cytometry has been a conventional methodology which is well established, what we have done is defined and devised a very unique approach to improving the processes to be able to obtain a result or a sample efficiently and effectively. This is novel, this is something which we believe will take a technology platform which is a state [ph] and basic platform that has been used in the science world and giving it a super charge in some respects and giving it a capability that will make it much easier to use in some respects and open up new potential opportunities. Our goal in some respects is to take flow cytometry and move it into more main stream diagnostic utility and that is in essence broadening an existing market. So we’re very excited about it and what we have done in AmpiProbe is somewhat similar, we have taken a very traditional standard goal based performance technology of PCR and we have taken a totally unique platform view of it and created a platform that is extremely more sensitive but not -- sensitivity that will be applied in the area of reducing cost and so we’re looking at the market not from the prospect of saying this is the best technology, this is a new technology. We’re looking at the market and saying how do we take these standard of care technologies which are gold standards of the industry and how do we provide them to customers and laboratories in the marketplace in a way where they can make money using them rather than continuously being up against the wall of reduced reimbursements and high private cost and so it's a very different attitude and approach which we have been embarking on and the two platforms that we have started with which are the DNA amplification platform and flow cytometry platform are really just the beginning of what I think will be a standardized approach for producing lower cost, higher efficiency test that will be beneficial not only to the clinical labs but to patients doctors and providers as well.
Norman Hale: On a relative basis compared to the existing products that you guys are selling, will the margins be higher, do you anticipate the margins to be higher on the FlowScript products relative to the products that you’re currently manufacturing and selling?
Jim O'Brien: Yes we believe that this will provide certainly a higher margin opportunity for the company. No question about it.
Norman Hale: Barry, back to the specific to litigation, there are so many things out there that you guys are working on. I mean it's got to be mind-boggling to keep with everything but can you give us any kind of a and I know time lines are tough to give because on the legal world it might be a patent attorney, I understand the how things work in that area. And can you give me just sort of a rough timeline in terms of each of the items that are currently pending when we might expect to hear something definitive in terms of where we’re at.
Barry Weiner: I can do my best. The case against Life Tech Applera which is in the appeal process is due any day for a response. Historically the rule of thumb that has been suggested to me that decisions on appeal will take place approximately 90 days post oral hearing. Our oral hearing was in early December. So we’re in the zone right now and certainly within the next month or two I would expect to hear on that particular issue. In terms of our cases in Delaware as you’re aware there are 11 cases in Delaware. We just completed the first phase of discovery on those 11 cases, an enormous task as you could see from the legal expenditures for the last six months we have been investing significantly in that. What is necessary going forward in those cases are experts and expert testimony development subsequent to that will be motion practice and then there will be trials. We believe within 12 months we should be getting to a point where we will start to see trials scheduled. Again I can't vouch for that schedule but that is the preliminary layout in front of us in the Delaware cases. In New York we have the case against Roche specifically, from my understanding discovery is scheduled to conclude sometime in the summer and subsequent to that we will then go through the motion practice and hopefully have a trial set as well. So that’s very top line perspective on the cases.
Norman Hale: And I understand the difficult because there are so many moving parts on these things but it's just, we just want to know where we’re at, what is the status on the -- you had an out of court settlement with Perkin Elmer, what is the status there?
Barry Weiner: That case has been settled. At this point in time it is engaged in a dialogue over fee disbursement, once that is done the case will be concluded.
Norman Hale: And do you expect that sometime in the relative in near future?
Barry Weiner: Again I can't comment how that will process but I'm hopeful that it will be moved along rather expeditiously.
Norman Hale: If you guys can finally get paid on some of the things, I mean the Life Tech deal for example, we get the money on that, I mean that would deal perfectly into ramping up of FlowScript and potentially when AmpiProbe is approved give us the capital to really forge ahead with gusto on sales and given you guys working capital be able to dramatically improve revenues and lot of good things will come from that obviously.
Barry Weiner: Yes we absolutely. I would like to offer if there are any other questions. I thank you for all of your really substantive questions. Any other questions?
Operator: There appear to be no further questions at this time.
Barry Weiner: Thank you again for joining us this morning. We look forward to reporting our third quarter in June. We anticipate this quarter to be a very active quarter in one which hopefully will provide a lot of the answers to some of the questions that have been asked today. Thank you for joining us.
Operator: A replay of this broadcast will be available until Friday, March 27th at 12 midnight. You may access this replay by dialing 1(800) 585-8367. The pin number is 2925694. This replay will also be available over the internet at www.enzo.com. This concludes today's teleconference. You may disconnect your lines at this time and have a wonderful day.